Operator: Good day and welcome to the Banner Corporation's Second Quarter 2015 Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Mark Grescovich, President and CEO of Banner Corporation. Please go ahead sir.
Mark J. Grescovich: Thank you, Chad and good morning everyone. I would also like to welcome you to the second quarter 2015 earnings call for Banner Corporation. As is customary, joining me on the call today is Rick Barton, our Chief Credit Officer; Lloyd Baker, our Chief Financial Officer; and Albert Marshall, the Secretary of the Corporation. Albert, would you please read our forward-looking Safe Harbor statement.
Albert Marshall: Good morning, our presentation today discusses Banner's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives, or goals for future operations, products or services, forecast of financial or other performance measures, and statements about Banner's general outlook for economic and other conditions. We also may make other forward-looking statements in the question-and-answer period following management's discussion. These forward-looking statements are subject to a number of risks and uncertainties, and actual results may differ materially from those discussed today. Information on the risk factors that could cause actual results to differ are available from the earnings press release that was released yesterday and a recently filed Form 10-Q for the quarter ended March 31, 2015. Forward-looking statements are effective only as of the date they are made, and Banner assumes no obligation to update information concerning its expectations. Thank you.
Mark J. Grescovich: Thank you, Al. As announced, Banner Corporation had another strong quarter, reporting a net profit available to common shareholders of $13.2 million, or $0.64 per diluted share for the quarter ended June 30, 2015. This compared to a net profit to common shareholders of $0.61 per share for the first quarter of 2015 and $0.88 per share in the second quarter of 2014. Results for the quarter just ended were impacted by acquisition-related expenses which net of taxes, reduced net income by $0.13 per diluted share. Further, the second quarter 2014 earnings included a $9.1 million bargain purchase gain related to the acquisition of six branches in Southwest Oregon, which net of related acquisition expenses contributed $0.23 to net income per diluted share in that quarter. Our core operating performance for the second quarter of 2015 maintained our positive momentum and further demonstrated that through the hard work of our employees throughout the company, we continued to successfully execute on our strategies and priorities to deliver sustainable profitability and revenue growth to Banner and expand our balance sheet with strong organic loan and deposit growth coupled with opportunistic acquisitions. Our consistent and increasing quarterly profits show that execution on our strategic plan is effective, and we continued building shareholder value. Our second quarter of 2015 core revenue was strong at $66.8 million, and increased 22% compared to the year ago quarter. We benefited from a larger and improved earning asset mix, a net interest margin that remained above 4%, very good deposit fee income, and strong mortgage banking revenue. Also, our cost of deposits was 16 basis points compared to 21 basis points in the second quarter of 2014. Overall, this resulted in a solid return on average assets of 1.02% for the quarter. Once again, our strong performance this quarter reflects continued execution on our super community bank strategy. That is, reducing our funding costs by remixing our deposits, growing new client relationships, improving our core funding position, and promoting client loyalty and advocacy through our responsive service model. To that point, our core deposits increased 18% compared to June 30, 2014. Also, our non-interest-bearing deposits increased 23% from a year ago. Although a large portion of this balance growth is from the addition of 10 new branches in Oregon, as a result of the Siuslaw Bank acquisition, we also saw a continued strong organic generation of new client relationships. Our net client growth in these product categories is now 96% since December 31, 2009. Further, our loan portfolio expanded 13% from one year ago. In a few moments, Lloyd Baker will discuss our operating performance in a more detail. While we have been effectively executing on our strategies to protect our net interest margin, grow client relationships, deliver sustainable profitability, and prudently invest our capital, we have also focused on maintaining the improved risk profile of Banner. Again this quarter, our credit quality metrics reflect our moderate risk profile, and our non-performing assets remained at just 57 basis points of total assets at June 30, 2015. In a moment, Rick Barton, our Chief Credit Officer, will discuss the credit metrics of the company and provide some context around the loan portfolio and our success at maintaining a moderate risk profile, while also increasing our loan portfolio. Given our successful credit risk management, our low level of non-performing loans and our moderate risk profile, we did not report a provision for loan losses in the quarter despite additional loan growth. Nonetheless, Banner's coverage of the allowance for loan losses to non-performing loans is a strong 322% at June 30, 2015. Banner's reserve levels are substantial and our capital position and liquidity remained extremely strong. At the end of the quarter, our ratio of allowance for loan and lease losses to total loans was 1.82%. Our total capital to risk weighted assets ratio was 16.2% and our tangible common equity ratio was 12.26%. In the quarter and throughout the preceding 5 years, we continued to invest in our franchise. We have added talented commercial and retail banking personnel to our company, and we have invested in further developing and integrating all our bankers into Banner's proven credit and sales culture. While these investments have increased our core operating expense, they have resulted in positive core revenue growth of 22%, strong customer acquisition, 13% year-over-year growth in the loan portfolio, improving cross sell ratios, and strong deposit fee income growth of 30%. Further, we have received marketplace recognition of our progress and our value proposition as the Small Business Administration named Banner Bank Community Lender of the Year for the Seattle and Spokane district for two consecutive years, and this year named Banner Bank Regional Lender of The Year. Also Forbes magazine ranked Banner Corporation as one of the top 50 most trustworthy financial institutions in the United States. The successful execution of our organic growth plan and our persistent focus on improving the risk profile of Banner has now resulted in 17 consecutive quarters of profitability and our tangible book value increased nearly 6% to $30.22 per share when compared to June 30, 2014. Finally I am very excited about the recently closed acquisition of Siuslaw Bank and the announced acquisition of the AmericanWest Bank. With these strategic combinations we will have the opportunity to deploy our super community bank model throughout our strengthened presence in Washington, Oregon, and Idaho and enter into attractive growth markets of California and Utah. These combinations will provide significant benefits to our expanded group of clients, communities, shareholders, and employees and I would like to reinforce our welcome to the Siuslaw Bank clients, employees, and shareholders who joined the Banner Bank team on March 6, 2015. I will now turn the call over to Rick Barton to discuss trends in our loan portfolio, Rick?
Richard B. Barton: Thanks Mark. As you read in our press release and heard in Mark's comments Banner's credit metrics were stable during the second quarter and a moderate risk profile was solidly maintained. That said my remarks are going to be limited to commenting on select credit metrics and touching on a few general loan portfolio highlights. Loan loss recoveries were exceptionally strong during the quarter resulting in a net recovery of $2 million. Driving this performance was the early payoff of a bankruptcy payment plan negotiated several years ago and asset sales that occurred in ongoing bankruptcies and receiverships. The point to be made here is that these events are episodic not recurring. The composition of our non-performing assets changed during the quarter. Approximately $9 million in non-accrual loans from the Siuslaw acquisition are now being reported as loans over 90 days past due and still on accrual. This change was made to align reporting with regulatory and accounting guidance around purchased credit impaired loans but did not result in an increase in total non-performing assets. The asset quality and credit metrics of the Siuslaw Bank portfolio remain what we expected. The performance of non-credit impaired loans is acceptable and the collection efforts on credit impaired loans are making reasonable progress. Classified loans in Banner's portfolio were $54 million versus $80 million at March 31, 2015. Classified loans now represent only 1.3% of total loans versus 2.1% one year ago. The quarterly reduction was driven by the payoff of two large problem loans and the upgrade of others based on improved financial performance. The reserve for loan losses remains appropriate for Banner's growing loan portfolio with no provision for losses being made for the 10th consecutive quarter. And it should be noted that the calculation of the reserve to total loans 1.82% and the coverage of non-performing loans 332% includes the Siuslaw loans but not the purchase accounting mark against those loans. Delinquencies remain low at 0.65% as a result of strong portfolio management and the vibrant Northwest economy that is strengthening the balance sheets of our clients. Mark noted that total loans including the Siuslaw portfolio grew 13% year-over-year. Changes in key portfolio segments are summarized as follows; commercial business loans outstanding were up 10.5% including Siuslaw and 5.3% without Siuslaw. However, commercial commitment utilization remains low. Excluding Siuslaw Banner's June 30, 2015 unused commercial commitments grew by over 10% when compared to June 30, 2014. Commercial real estate loans including both investor and owner occupied grew by 19.6% with Siuslaw and 10.2% without Siuslaw. This growth occurred throughout our footprint. Excluding a modest Siuslaw portfolio, multifamily loans grew by just 4.4% year-over-year as we continued to be selective in the projects we choose to add to the portfolio. Residential construction and land development loans grew by 17.5% when June 30, 2015 balances compared to those a year earlier. All but $1 million of the $50 million growth occurred in the historic Banner portfolio. $32 million of the growth has been in the land and land development category, and is focused in the Seattle and Portland markets where robust new home sales have created shortages of finished building lots. Loan turnover in all segments of this portfolio remains brisk which is indicative of balanced markets. While the rate of growth in this portfolio is significant, it is still only 7.9% of the bank’s total loan portfolio. Our bankers closely monitor market dynamics and consider the impact an increase of interest rates will have on market demand. I want to close my remarks this morning with the reminder that we are continuing to maintain a moderate risk profile for the Banner loan portfolio. This position along with the company’s strong capital ratios will allow us to continue executing on our strategic plans which include the integration of AmericanWest Bank. With that I’ll turn the stage over to Lloyd for his comments.
Lloyd W. Baker: Thank you Rick and good morning everyone. As Mark has already noted and reported in our second quarter earnings release Banner Corporation had another good quarter as well a six month period ended June 30, 2015. While completion of the purchase and integration of Siuslaw Bank was certainly a highlight of the first six months, our solid financial performance in both periods continued to reflect strong revenue growth driven by a solid net interest margin coupled with significant earnings growth and the increased non-interest income including substantial increase to deposit fee and service charges and record mortgage banking revenues. This revenue growth followed trends that have been evident for extended periods and continued to demonstrate the successful execution on our super community bank business model, the strength of our balance sheet and the value of the Banner franchise. Despite being burdened with $3.9 million of acquisition related expenses which reduced earnings by $0.13 per diluted share, our net income available to common shareholders for the quarter ended June 30, 2015 increased to $13.2 million or $0.64 per diluted share compared to $12.1 million or $0.61 per diluted share in the immediately preceding quarter which included a lesser $1.6 million or $0.07 per share of acquisition related expenses. Of course comparison to the second quarter a year ago was more complex because of the $9.1 million bargain purchase gain, the net of related expenses added $0.23 per share to earnings in that period. However, excluding the merger related expenses and fair value adjustments from both periods and last year’s bargain purchase gain the current quarter’s core operating results were $0.74 per diluted share compared to $0.63 per diluted share for the second quarter a year ago. An increase of nearly 18% for this adjusted earnings measure. This earnings growth reflect significant organic growth to the balance sheet as well as last year’s purchase of six branches on the Southern Oregon Coast and a full quarters benefit from Siuslaw Bank acquisition. And as I previously mentioned includes substantially increased deposit fees and service charges and record mortgage banking revenues. Revenues in the current quarter included a positive net fair value adjustment of $797,000 which similar to the preceding quarter primarily related to the liquidation of a pooled trust deferred collateralized debt obligation securities which, had previously been carried and marked down at fair value. As I've frequently reminded, our expectation is that fair value adjustments will most often result in a modest net charge as valuation adjustments on our junior subordinated debentures, or trust preferred securities, are normally the principal component of this income statement line. Any increases in the fair value of those significantly discounted liabilities will naturally occur as the passage of time brings them closer to maturity. However for the last two quarters we have been pleasantly rewarded by the full pay off on a couple of the CEO securities that we had previously carried and estimated fair values well below par. More important, as Mark has already noted, our revenues from core operations, which is revenues excluding the gains and losses on sale of securities, net fair value adjustments, and last year's bargain purchase gains were $66.8 million in the second quarter of 2015, an increase of nearly 12% compared to the immediately preceding quarter. And, more impressively, an increase of $12.3 million or 22% compared to the same quarter a year ago. As a result for the first six months of 2015 our revenues from core operations increased by $20.3 million to $126.5 million, an increase of 19% compared to a year earlier. As I previously noted, this strong revenue generation for the quarter and year-to-date was the result of significant balance sheet growth, a solid net interest margin, additional client acquisition, and compared to both the preceding quarter and a year ago, increased mortgage banking activity. Taken together these trends clearly demonstrate that our value proposition is being well received and, that the focused efforts of our employees and the strength of our balance sheet are combining to produce consistent earnings momentum and add to the value of the Banner franchise. Primarily, as a result of significant growth and the average balance of loans and core deposits, our net interest income increased by $7.6 million, or 17% compared to the second quarter a year ago. Improvements in our earning asset mix and further reductions in our funding costs, allowed our net interest margin to increase to 4.19% in the current quarter, compared to 4.09% in the immediately preceding quarter, and 4.06% in the first quarter a year ago. Net interest income in the current quarter included $471,000 from a large credit recovery which added four basis points to the margin. In addition in the current quarter -- the current quarter was impacted by the accretion of purchase accounting discounts from the Siuslaw acquisition which contributed another three basis points to the margin. Nonetheless after accounting from these adjustments our net interest margin continued to be remarkably stable and in fact expanded modestly compared to recent periods. Further as Rick has noted again this quarter we did not identify a need to reduce net interest income with provision for loan losses as all of our credit quality indicators remain strong and we realize nearly $2 million of net recoveries in our allowance for credit losses. Deposit fees and service charges were $9.6 million in the second quarter, a 19% increase compared to the first quarter of 2015 and an increase of 30% compared to the second quarter a year ago. For the first six months of 2015 deposit fees and service charges increased by 27%. Similar to recent quarters the significant increase in these fees and service charges compared to a year earlier is a direct result of our growth in core deposit accounts and related transaction activity reflecting the success of our client acquisition strategies as well as the branch purchase in June of last year and more recent merger with Siuslaw Bank in March of this year. The increase in these deposit fees and service charges also reflects the continuing benefit from our decision to move our debit and credit card relationship to MasterCard in the second half of last year. As reported in the earnings release, our mortgage banking revenues were particularly strong contributing $4.7 million to 2015 second quarter revenues compared to $4.1 million in the preceding quarter and $2.6 million in the second quarter a year ago. For the first six months of 2015, our mortgage banking revenues were $8.8 million, nearly double the amount recorded in the first six months of 2014. While this increase in revenues certainly reflects the current low mortgage rates which have supported strong home purchase activity in our markets as well as ongoing refinance activity. This also reflects incremental production as a result of our continued investment in this line of business. Aside from the acquisition related expenses previously noted, our operating expenses increased compared to the prior quarter largely as a result of the costs associated with operating 10 Siuslaw Bank branches for the full quarter. Compared to the same quarter a year ago our operating expenses increased more significantly as we also incurred expenses associated with the six Oregon -- Southern Oregon branches that were not acquired until late June 2014. In addition the current quarter’s expense reflects generally higher compensation cost, increased payment and card processing expenses driven by greater activity volumes, and a higher than normal amount of advertising and marketing expense. Finally with respect to the income statement, our effective tax rate was 33.3% in the second quarter, slightly lower than preceding quarter which included a greater portion of non-deductible acquisition related expenses. For the first six months of 2015 our effective tax rate was 33.5%. Whereas compared to a year ago the current quarter and its statement of condition has been significantly impacted by the Siuslaw acquisition. In particular Siuslaw Bank contributed $245 million to our consolidated loans totals and $320 million to total deposits as of June 30, 2015. We also recorded 21 million in dollars of goodwill as a result of the purchase and the increased paid in capital by $58 million to reflect the value of the Banner shares issued to the former Siuslaw shareholders. As I noted last quarter aside from these balance sheet changes we are pleased to report that in addition to closing the transaction we have very successfully converted all of the data processing and operating systems and the former Siuslaw Bank branches and employees are now all proudly serving their clients under the Banner Bank's flag. Aided by expected seasonal factors our loan growth was strong in the second quarter. Total loans increased by $129.7 million or 3% during the quarter and as a result of strong organic growth as well as the Siuslaw acquisition ended the quarter up 13% compared to a year ago. Loan growth during the quarter was broad-based and included increases in commercial real estate, commercial business, agricultural business, construction and development, and consumer loans. Also reflecting expected seasonal factors, deposit totals were essentially flat for the quarter. However, deposit totals have increased by 10% compared to a year earlier. More importantly the year-over-year growth in total deposits continues to reflect even more significant growth in core deposits which increased by 18% and non-interest bearing deposits which increased by 23% compared to a year earlier. As a result core deposits comprised 82% of total deposits at June 30, 2015 compared to 76% at June 30, 2014. These core deposits provide a stable funding base and represent a foundational account for relationship banking which is the basis for Banner’s super community bank model. This concludes my prepared remarks relative to the financial statements. In summary I will reiterate that we had another good quarter and that the first six months of 2015 reflect strong revenue growth, and solid earnings momentum that position Banner Corporation well for further success in future periods, particularly if we look forward to the integration of the AmericanWest Bank into Banner Bank. As always I will look forward to your comments and questions. Mark turning it back to you.
Mark J. Grescovich: Thank you Lloyd and thank you Rick for your comments. That concludes our prepared remarks and Chad we will now open the call and welcome your questions.
Operator: Thank you, sir. [Operator Instructions]. And our first question comes today from Jeff Rulis with D.A. Davidson.
Jeff Rulis: Thanks and good morning.
Mark J. Grescovich: Good morning Jeff.
Lloyd W. Baker: Hi Jeff.
Jeff Rulis: Hi, on the AmericanWest, I guess your expectations of that close, it seems to have split a couple of months not a big change but interested to hear if there is anything that's occurred with that potential close, that split a little bit?
Mark J. Grescovich: Yes Jeff, this is Mark. The slight delay on closing through our expectations has been the result of working with our regulators on some competitive market conditions in some of our overlapping markets. We are well along the resolution to those issues, and more importantly it is going to have a deminimus effect to the combined company.
Jeff Rulis: Got you, okay. And then on the, I guess switching gears a little bit, on the mortgage banking, strong six months Lloyd, and you talked about that in your comments, but I guess so far in the quarter and/or what would be your expectations for the second half of the year, maybe just kind of what you have seen month to date and then expectations for the back half of the year?
Lloyd W. Baker: Well, you are correct Jeff. It was a very good first six months of the year for our mortgage banking operations. Obviously, interest rates and mortgage rates remain low and that is very helpful. As I noted, we have invested in additional capacity there over an extended period of time and some of those folks are really hitting their stride now in terms of production activity. Pipelines remain really quite full. Housing activity in most of the Northwest markets remains pretty strong. So, I think barring an unexpected sharp rise in mortgage rates, the debt activity should continue to be a very positive component of our operations for a number of quarters.
Jeff Rulis: And then lastly on the loan growth, I think Lloyd you mentioned it was pretty broad based amongst these sectors, I guess any regional strength in the foot print that is particularly boosting the loan growth figures, and maybe to close just sort of your expectations, do you think there was some seasonal timing obviously maybe the Ag portfolio, but kind of the expectations going forward as well on loan growth?
Lloyd W. Baker: Sure, so I am going to defer to Rick here in a moment, but we do see seasonal patterns in both our C&I and our Ag portfolios, and our construction and development business, all three are generally positively impacted by this time of the year in the cycle. I think yet it is as I noted broad based, but I will defer to Rick if he wants to talk about specific geographies.
Richard B. Barton: Jeff this is Rick. I think if we look at the different segments, the residential, construction, and land, the activity there continues to be very robust and is really central -- centralized in Puget Sound and Greater Portland. There is a lot more activity underneath the numbers in terms of production. Because of the velocity, the production numbers are on par with last year, but loan growths remain very modest. In other loan categories, that is pretty well spread across the foot print with no particular geographic concentration. I might point out that pipelines remains generally strong and are actually running 10% to 15% ahead of what they were last year.
Jeff Rulis: Great, thanks for the comments.
Mark J. Grescovich: Thank you Jeff.
Operator: Our next question comes from Paul Miller with FBR.
Unidentified Analyst : Good morning guys, this is actually Tom Buchanan [ph] on behalf of Paul. Obviously the net loan growth as you just discussed was solid in the quarter and on seasonality, were there any offsetting impacts there or how did prepays turn in the quarter unless the one thing that we can see in the release was there any outside impact from the higher prepays or anything like that.
Richard B. Barton: There really was not anything that I would consider to be out of the normal prepayment patterns.
Unidentified Analyst : Okay.
Lloyd W. Baker: I just note that one category that did go down was 1 to 4 family loan balances. So I think Rick is right, it wasn’t outside of norm, but there continues to be refinance activity and because we sell most of our originations in the secondary market, you saw some contraction in that portfolio. What we also saw which was interesting though was some growth in the HELOC portfolio for the first time and quite a period of time despite the fact that when people refinance they frequently not only will pay off their first mortgage but also a HELOC transaction, but we had some very good production there out of our retail banking group.
Unidentified Analyst : Okay and then switching gears quickly, I think you mentioned two pay outs in the quarter in the credit portfolio and also you had the $471,000 credit recovery in net interest income, can you provide a little color there on what drove those recoveries and whether you think that is something that could continue to happen?
Richard B. Barton: Well as I mentioned in my comments, the big recoveries for the second quarter were more episodic then something that you can count on to be recurring. The one large recovery that we had was out of a previous bankruptcy plan that had been negotiated and it just paid off early. The company recovered nicely and had the ability to pay it off so we were happy to record that. Outside of that one it’s just continuing to mind the charge offs that we had during the recession to look for pockets of recovery and our special assets people are doing a very good job of that.
Unidentified Analyst : Okay and one more if I may and this maybe more of a question for Mark. When AmericanWest closes obviously you guys are entering new markets and you’ve been more of a whole bank acquiring a lot of here so but what are the opportunities you guys are valuing in terms of hiring change of lenders either in new markets or in existing ones.
Mark J. Grescovich: Well we consistently look at opportunities in which we can enhance revenue generation for our company and clearly we are in the service and people business and our bankers are the primary asset for our company to drive that revenue growth. So we look for those opportunities on a consistent basis in all of our markets to make sure that we are properly staffed and serving the market and continuing our market share growth.
Unidentified Analyst : Okay, great. Thank you, guys.
Mark J. Grescovich: Thanks Thomas.
Operator: Next question comes from Jackie Chimera with KBW.
Jackie Chimera: Hi, good morning everyone.
Mark J. Grescovich: Good morning Jackie.
Jackie Chimera: I wondered if you could, actually there are so many questions for Lloyd here, just on what cost savings if any were realized from the Siuslaw conversion in the quarter, just a timing on that and then what’s less in future quarters were realized?
Lloyd W. Baker: Cost savings in the quarter with Jackie I don’t have a good hand on that. We have had some pretty meaningful reduction in staffing in the back office as you would expect at the Siuslaw operation. And that we benefitted from that probably about two thirds of the quarter because there were still transitioning going on I would say in the first months of the quarter. But I am sorry I can’t put an exact number on that, maybe another number that I will scale just for your benefit and other so we did mention $3.9 million worth of acquisition related expenses in the current quarter, about 900,000 of that related to the Siuslaw acquisition and the balance, the other $3 million was with respect to the AmericanWest acquisition. So, as Mark and Jeff discussed we are a little behind where we wanted to be closing that. But the integration activity that is driving that expense is ongoing and is progressing really quite well.
Jackie Chimera: Okay, alright.
Mark J. Grescovich: And Jackie, this is Mark, just a little bit more color to the Siuslaw Bank, if you recall the modeling that we presented as part of that acquisition called for some 30% expense savings in the transaction. What I can tell you is that we are tracking well above the 30% cost saves.
Jackie Chimera: Okay, that is great to hear. And with the conversion done and lot of the staffing reductions taken place, realizing that obviously this quarter was not a full run rate, it sounds like from the Siuslaw perspective you would have a full run rate in 3Q?
Mark J. Grescovich: We should from an expense stand point.
Lloyd W. Baker: And again I think it is important to note that Siuslaw made a nice contribution to the revenue activity during the quarter as well. So, we are very pleased with that acquisition. It is tracking ahead of our expectations actually.
Jackie Chimera: Okay. And relative to the comment about the 3 million in AmericanWest related M&A charges, I think it was a couple of quarters ago Mark you might have mentioned that some of the originally guided 50 million in costs associated with AmericanWest might come out of AmericanWest that bank itself prior to the acquisition, is that still the case?
Lloyd W. Baker: Jackie, this is Lloyd. That is certainly still the case. So, for instance there are legal fees, there are investment banking fees. Some of the change of control expenses around contracts, that sort of thing any meaningful portion of that will end up running through their books and will be reflected in the net equity that we acquire. But there will be, I don’t want to underestimate, there is going to be a lot of expense related to some of those activities for us as well in the next couple of quarters.
Jackie Chimera: Okay, and does the change in the timing of the deal close, does that change your general thoughts on when you will realize the cost savings associated with the deal?
Lloyd W. Baker: It does, it postpones them by about the same amounts that we postpone the closing of the transaction. So, if you recall I originally modeled it to close in the quarter that just ended June 30 quarter and now I am going to spike it sometime late this quarter as we indicated. So that does put you 90 days behind in terms of some of the cost savings activity.
Jackie Chimera: So, you can say your original guidance was to have the cost saves out by the end of 2016, is it a fair assessment that we could have a pretty clean run rate by 2Q 2016, I am sorry by the end of 2015 the cost save, so we could have a clean run rate by 2Q 2016?
Lloyd W. Baker: Yes, 2Q 2016 I think will probably be a pretty good run rate. It might just be a little bit left there but for the most part it should be indicative of what the expense levels will look like going forward.
Jackie Chimera: Okay.
Lloyd W. Baker: Assuming Mark doesn’t do something else dynamic.
Mark J. Grescovich: Jackie, that is a very good question. I think the other component to respond to your question is at the same time that we did the modeling both organizations Banner and AmericanWest are performing better than planned, so…
Jackie Chimera: Okay, no definitely understood and thank you both very much for the color, I appreciate it.
Mark J. Grescovich: Thank you Jackie.
Operator: The next question is from Russell Gunther with Macquarie.
Russell Gunther: Hey good morning guys.
Mark J. Grescovich: Good morning Russell.
Russell Gunther: Appreciate the color on the margin this quarter and even on a core basis you guys margin continued to defy expectations. So, congratulations there. Just had a quick question on the Siuslaw contribution from the purchase accounting Mark, so obviously that could be lumpy quarter-on-quarter but do you have an expectation or just the general sense directionally what that contribution might be going forward?
Lloyd W. Baker: Russell, this is Lloyd. As we noted it was about three basis points during the quarter. We really don’t anticipate that it will be terribly lumpy and the reason for that is it wasn’t a lot of significant purchased credit impaired loans there and therefore not a lot of meaningful discount that will come in a lumpy fashion that you are used to seeing on some other purchase transactions where there is a higher percentage in the portfolio that’s not performing.
Russell Gunther: Okay great, now that’s helpful. And then as it relates to AmericanWest, I think last quarter we talked about perhaps closer to 15 basis points of margin compression when that deal closes, is that still your expectation and is the order of magnitude something we should consider from this quarter’s results may be less the four basis points of recovery or how should we think about that?
Lloyd W. Baker: Yes, our expectation is still that 15 basis point level of compression on the margin is a result of that transaction initially and I would think of it in terms of what I would call our adjusted margin for this quarter which I think is probably more like that 411 or 410 area. But, I wade into a deep puddle here because as many of the people on the call know I still think that this little interest rate environment has some room to play out in terms of pressure on the margin. So you know…
Russell Gunther: I appreciate your commitment to continued concern about the lower rate environment despite your cash ability to continue to show core expansion. And then let me just one last margin question, so I also believe that, that 15 basis point compression is absent any estimated impact from purchase accounting on the AmericanWest deal so, could you help us with maybe a net impact if we get 15 basis points compression initially, what might purchase accounting contribute to the margin.
Lloyd W. Baker: I think that 15 basis points is in anticipation of the purchase accounting contribution. So similar to Siuslaw we don’t expect it to be terribly lumpy. Now obviously it’s a bigger portfolio and therefore there will be room for some problem assets to pay off in less than a smooth fashion if you will. It will bump around some but we did -- that 15 basis points is inclusive of expected amortization of purchase accounts and discounts.
Russell Gunther: Thank you for the clarification there Lloyd and then just switching gears to loan growth, obviously a really solid quarter and I appreciate the color on the trends, just to follow up on the loan pipeline, I know you guys don’t quantify this numbers but if you could give us a sense directionally where the pipeline went quarter-on-quarter and then maybe with some of the drivers are there?
Mark J. Grescovich: Well I think quarter-over-quarter the pipeline was stable. It was not spiked in the second quarter by any stretch of the imagination. And drivers I think, the primary driver has to be the very vibrant Northwest economy and the success that our clients are having and our prospects are having in terms of expanding their companies.
Russell Gunther: Got it, okay and then just I understand that there is some seasonality to the strength this quarter but as we kind of step back and think about the combined company with the AmericanWest deal closing, obviously some noise there and perhaps maybe a little run off but how do you think about the loan growth potential for the combined institution year-over-year in 2016?
Mark J. Grescovich: Russell, this is Mark you know we continue even under the combination of AmericanWest one of our key drivers is to maintain a moderate risk profile. So we are going to look for a diversified loan portfolio very similar to what we had done at Banner and you could anticipate a modest growth. We are not going to outsize the growth rate. I think given the Western United States and their performance including California and Utah, the economic performance has been a bit better than the rest of the country. So you could see upward digits loan growth.
Russell Gunther: Alright, thank you guys. That’s very helpful. I appreciate you taking my questions.
Operator: The next question comes from Don Worthington with Raymond James.
Donald Worthington: Good morning everyone.
Mark J. Grescovich: Hi Don.
Donald Worthington: In terms of Lloyd you mentioned the marketing cost up in the current quarter, would you expect those to remain high particularly following the AmericanWest transaction as you kind of try to get the brand known in California and Utah?
Lloyd W. Baker: Well I don’t want to give the marketing department too long of a lease here. They might be listening to the call as well. Yes, certainly there is going to some incremental expense associated with promoting the brand in new markets. I don’t have a real solid number on that. I do think again the $2.2 million level that we expensed in the current quarter is high for what we would consider a normal run rate. And how much our normal run rate is going to change as a result of that acquisition is still to be determined.
Donald Worthington: Okay.
Lloyd W. Baker: What’s not going to change is our marketing strategies okay. So we are going to employ few more strategies that we have in terms of some of our direct mail strategies, in terms of some of our brand advertising, and in terms of our focus on client acquisition. So all of that will remain the same. The absolute dollar amount calibrating that’s a little bit hard right now.
Donald Worthington: Okay, alright thanks. And then you commented in the past that the deposit retention from the branch purchase and the whole bank acquisition was pretty strong, is that still the case?
Lloyd W. Baker: It is, if you look in the press release I think we noted $210 million of deposits from the Southern Oregon purchase. I think that we closed on 212. So a year later that looks good and Siuslaw at the end of the quarter was $320 million and we closed on $316 million. So you would expect always when there is a transaction that you are going to lose a few customers that for whatever reason want to change but I think we are really quite pleased with the performance of both of those divisions in terms of deposit activity. Then both of that client growth, even though the totals are fairly flat with the acquisition time that both areas have had a client growth so, we feel good about it.
Donald Worthington: Good, thank you.
Mark J. Grescovich: Thanks Don.
Operator: Our next question comes from Tim Coffey with FIG Partners.
Tim Coffey: Hey good morning gentlemen.
Mark J. Grescovich: Good morning Tim.
Tim Coffey: Most of my questions have been answered but I just want to ask you about the core legacy loan yields on your portfolio. It’s been pretty solid for about a year now, my question is that just kind of the market trying to -- your portfolio is down the bottom in the current market that you are in or is that really kind of remix of the portfolio towards higher yielding loans.
Lloyd W. Baker: Little bit of both Tim. I just got through saying that I am not sure we’ve seen the bottom in the current interest rate environment for core level so there is still our higher yielding things paying off. But the mix was particularly important to the yield in the current quarter and the margin in the current quarter. So Rick mentioned construction and development turnover there was very rapid, sales activity was strong and that helped the yield on that portion of the portfolio quite a bit. And some of that seasonal activity that I mentioned in C&I and Ag can be in slightly higher yielding portions of those portfolio as well. So mix was important, low interest rate is still a challenge.
Tim Coffey: And quickly, I too appreciate your commitment to lower interest rate forecast but are there further opportunities to improve the mix of the portfolio on a legacy basis?
Lloyd W. Baker: I don’t think we envision significant changes in the mix. We like where it is and as I mentioned the growth was pretty much across the loan categories and as Rick mentioned across the geography. So, I think in terms of our net interest margin barring changes in the interest rate environment it is still a matter of can we continue to grow core deposits and take another basis point or two out of funding cost.
Tim Coffey: Okay. Thanks, those are my questions.
Mark J. Grescovich: Thanks Tim.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mark Grescovich for any closing remarks.
Mark J. Grescovich: Thank you, Chad. As I stated we are pleased with our solid second quarter performance and see it as evidence that we're making substantial and sustainable progress on our disciplined strategic plan to build shareholder value by executing on our super community bank model, by growing market share, strengthening our deposit franchise, improving our core operating performance, maintaining a moderate risk profile, and prudently deploying excess capital. I would like to thank all my colleagues who are driving this solid performance for our company. Thank you for your interest in Banner and for joining us on our call today. We look forward to reporting our results to you again in the future.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending. You may now disconnect.